Operator: Ladies and gentlemen, thank you for standing by and welcome to the Telkom's First Quarter 2014 Results Conference Call. [Operator Instructions] All the material for today's conference is available on our website at www.telkom.co.id. Please be advised that this conference is being recorded today. I would now like to turn the conference over to your first speaker today, Mr. Prakoso Imam Santoso, Assistant Vice President of Investor Relations. Please go ahead, sir.
Prakoso Imam Santoso: Thank you, Billy. Ladies and gentlemen, welcome to PT Telkom Indonesia first quarter results ended March 31, 2014, conference call. There will be an overview from Director of Innovation and Strategy portfolio and after that, the question-and-answer session will be conducted for all participants on this call. Today's presentation is available on the webcast and an audio recording will be provided after the call for the next 7 days. We released our financial results of first quarter ending March 31 on April 28, 2014, and the reports are available on our website, www.telkom.co.id. Before beginning, let me remind you that today's call and the responses to questions may contain forward-looking statements within the meaning of Safe Harbor. Actual results could differ materially from projections, estimations and expectations voiced during today's call. This may involve risk and uncertainty and may cause actual results to differ substantially from those discussed in today's call. Telkom Indonesia does not guarantee to any actions, which may have been taken in reliance of the discussions held today. Ladies and gentlemen, it's my pleasure to introduce you to the Telkom's Board of Directors who are joining with us today: Mr. Indra Utoyo as Director of Innovation and Strategy portfolio; Mr. Honesti Basyir as Director of Finance and Chief Financial Officer. Also present, Mr. Sukardi Silalahi as Director of Consumer Service and also present our Board of Director of Telkomsel. Mr. Heri Supriadi as Director of Finance; Mr. Edward Ying Siew Heng as Director of Planning and Transformation. Before Pak Indra delivers his remarks, I will take this opportunity to give a brief overview of Telkom Indonesia. Telkom is the single largest integrated telecommunications company and network provider in Indonesia, with over 149 million telephone customers and more than 85 million broadband users at the end of first quarter 2014. Telkom provides a strong business portfolio of TIME, telecommunication, information, media and entertainment, directly or through its subsidiaries. Telkom also delivers service through multi-customers portfolio, retail, enterprise, wholesale and international. As of March 31, 2014, the majority shareholder of our common stock was Government of Indonesia, with 53.1% ownership and the remaining 46.9% was under public ownership. I now hand over the call over to Mr. Indra Utoyo for his overview. Pak Indra, the time is yours.
Indra Utoyo: Thank you, Prakoso. Good afternoon, ladies and gentlemen. A very warm welcome to each one of you to our conference call for the first quarter results ending March 31, 2014. We sincerely appreciate your participation on this call. In today's call, I will give you an overview of our achievement in the first quarter 2014. Until the end of March, we could maintain an outstanding performance in operational and financial results. I'd also like to update you on the progress of our cellular and fixed line business development, as well as other business portfolio. Ladies and gentlemen, let me start the overview by sharing the highlights of our first quarter results. First, Telkom consolidated revenue increased 8.7% year-on-year and net income grew at 12.9% year-on-year. This is in line with Telkomsel's performance, which recorded 9.8% year-on-year revenue increase. Second, Telkomsel gained 1.1 million net additional customers during the first quarter of 2014, made total customer base to be 132.7 million. Third, Telkomsel continued to expanding its network, adding more than 4,400 new BTSs during the first quarter of 2014 with around 80% of them are 3G BTSs. Ladies and gentlemen, our fixed broadband users increased by 17.6% year-on-year to 3.1 million and the revenue increased to IDR 1.2 trillion year-on-year in the first quarter of 2014. Our mobile data users also gained increase of 36.3% from last year to 53 million users -- 63 million users. We booked IDR 3.1 trillion revenue from mobile data, a 32.3% increase year-on-year. Total mobile data and fixed broadband revenues increased 24.4% year-on-year to IDR 4.2 trillion. During the first quarter, Telkomsel recorded 1.1 million net additional customers that made total customer base to be 132.7 million. In the first quarter of 2014, we added 4,462 units new BTSs. 3,541 units of those are 3G Node B BTSs. Until end of March 2014, Telkomsel owned 74,322 BTSs and 30,555 or 41.1% of it are 3G Node B customers. This equal to 28.9% increase of total BTS and 72.2% increase of 3G BTSs compared to the same period last year. Ladies and gentlemen, consolidated revenue growth remains strong with 8.7% increase year-on-year and Telkomsel's revenue grew -- maintained at the level of 9.8% increase year-on-year. Revenue contribution for the first quarter of 2014 communicated by data, Internet and IT-specific revenue, which made 39.5% to total group revenue. Cellular results revenue came second, contributed 37.8%, followed by fixed line voice that contributed 10.9%. The remaining 11.8% is contributed by interconnections, network and others. Data, Internet and IT-specific [indiscernible] node, being first contributor, increased 14.3% year-on-year while cellular voice revenue, as the second contributor, showed remained good increase at the level of 6.1% year-on-year. In the meantime, on the expense side, was the biggest contributor with 35.8% of total expenses. The second and the third contributor were depreciation and external expenses with 37.7% and 16.7% of total expenses, respectively. Interconnection, G&A, marketing expenses, product mix and Other net, all together contributed 20.8% to total expenses. Total expenses increased by 11.5% year-on-year, mostly due to this increase in depreciation and amortization which, in line with the operation of network deployment in our cellular subsidiary. During the first quarter of 2014, we build more than 1,000 BTSs per month [ph]. Ladies and gentlemen, for 2014, we focus our efforts and resources on 3 main programs: first, cellular business; second is [indiscernible] production; and the third is international business. Synergy with the second group is implemented looking at that context. Priority given to the cellular businesses to make sure that Telkomsel will grow in line with our better debt market. In the meantime, broadband infrastructure is in our second focus [indiscernible] while dissipates increasing demand for broadband and data services to fixed and mobile. We expect with this volume operation of broadband infrastructure all over Indonesia. It could overcome digital divide problems that we have in Indonesia. International business expansion is the step that we have to go through to realize competition to be the leading player in the region. For the first 3 months of 2014, Telkomsel recorded 9.8% year-on-year revenue growth. We expect that for quarters to come, our cellular subsidiary could maintain good performance. Telkomsel is in the process of growing its digital business. For the first quarter 2014, digital business contributed close to 22% of Telkomsel's total revenue, increased 3.6% compared to last year. Revenue from digital business grew 31.3%, mainly from data broadband, which grew 32.2% and digital percentage increased 23% from last year. So for the coming years, these businesses will continue to be Telkomsel's main engine of growth. The [indiscernible] further increased the number of data users is still huge as current penetration of platforms is still relatively low at around 21% of Telkomsel's customers. We will encourage the adoption of smartphones and this is one of the key to operating data consumption. Telkomsel's regulatory revenue grew by 4.9% compared to last year. Our voice revenue grew 6.8% while SMS slightly increased 0.1%. To exploit Telkomsel's negative revenue, we focused on geographic structures and customer segmentation, where we can provide more services and then create more revenue. On the fixed line business, let me share our initial digital network 2015 or we call IDN 2015. We would like to share our initial Internet [indiscernible] progress for the first quarter of 2014. On the ID assets, until end of March, we have 8.5 million broadband homes passed, blended of Fiber To The Home, Fiber To The Curb and ADSL. Meanwhile, on the transport side because it's ID we have completed 68,800 kilometers of national and regional backbone network. [indiscernible] 65,000 [ph] kilometers by 2015. Currently, our international business contribution to total group revenues is still a slight [ph] number. However, we are committed to make this growing from time to time. As mentioned in previous conference call for the international business, we are projecting foothold in 10 countries until 2015. We are committed to have more international business portion to broaden our market room, diversify our business rate, improve the [indiscernible] of our human capital. Our subsidiary, Telkom Indonesia International, together with 12 Asia telecommunication companies and 2 European companies as members of Southeast Asia, Middle East, Western Europe type consortium, signed a contract for the development of international 3G Node systems that's connecting Southeast Asia and Europe. While on January 15, we have established a wholly-owned subsidiary under the name Infrastructure Telekomunikasi Indonesia or Telkom Intra. Telkom Intra will be positioned as a holding company for telecommunications infrastructure business. Ladies and gentlemen, let me know reiterate guidance for the year 2014 as [indiscernible]. For 2014, we expect both consolidated and Telkomsel revenue would grow in line with or better than market growth. Telkom consolidated revenue is expected to grow between 6% to 7%. Meanwhile, Telkomsel could maintain revenue growth in line with or slightly above the industry. For EBITDA margin, it will be stable or slightly decline for Telkom consolidated and Telkomsel. Consolidated CapEx spending for 2014 expected to be 20% to 25% of revenue. Allocation for Telkomsel purposes is around 60%. Meanwhile, for fixed line business and other subsidiary, it's 40%. That's ending my remarks. Thank you.
Prakoso Imam Santoso: Thank you, Pak Indra. We will now begin the Q&A session. [Operator Instructions] Operator, may we have the first question, please.
Operator: [Operator Instructions] The first question comes from Roshan Raj from Merrill Lynch Singapore.
Roshan Raj Behera - BofA Merrill Lynch, Research Division: I got 3 questions. First one, are you satisfied with the rate of monetization of data traffic looking at the 1Q trend? Traffic is up 142% year-on-year. Revenues up 32%. Is this a area of concern? If not, why? And at what levels do you think it becomes an area of concern if it doesn't stop monetizing. The second is in terms of your earnings strength. First quarter, just about 2% earnings growth Telkomsel, 4%, 5% at Telkom. Is this the kind of run rate we should be expecting for the remaining quarters? And a third question is the kind of royalty or access fee you create on BlackBerry on a per device basis, how does it compare to what you were paying last year? And is there a scope to bring this down going forward given that you have a wider range of competing Android devices in the market? That's all.
Prakoso Imam Santoso: Could you please repeat that second question, Roshan?
Roshan Raj Behera - BofA Merrill Lynch, Research Division: Just looking at the earnings for the first quarter, low to mid-single digit kind of net profit growth for the first quarter. Is this the kind of trend we should expect for the remaining quarters or for the full year?
Prakoso Imam Santoso: Thank you. Pak Heri and Pak Edward, I think this is for Telkomsel, yes.
Roshan Raj Behera - BofA Merrill Lynch, Research Division: This is for the Telkomsel, as well as Telkom.
Edward Ying Siew Heng: This is Edward. I just take the question #1 and then I pass to my CFO, Pak Heri to answer #2 and #3. So I think it's quite clearly you pointed out that data rate is growing faster than revenue. So are we happy? So the answer is we are never happy, right? So we always want to improve. So the question is -- so we are looking at the traffic growth up there, the net revenue. We are actually -- there are 2 reasons. One, we're just rolling out our 3G network. We try to understand the users in the area. Number two, the data plans, the remaining user is now about 63 million and the smartphone is only about 21% of our space. So [indiscernible] this we are trying to encourage user to engage into using data. So there are activities including digital application and so forth. So the long and short of this is that we are definitely finding new ways to improve our revenue on data -- data charges [indiscernible]. So that's the answer.
Heri Supriadi: Thank you. I continue on question #2. The second question, what is the outlook of our net income for the upcoming quarter. The thing I can explain to you is here. First, the first quarter always weaker compared to the fourth quarter because we have a peak season in the last quarters -- of the fourth quarter of last year. And the second also we continue to have all the data play in which we have our BTS and our network. I think ready to upfront to be monetized along the time for the remaining of the quarter. And the third is, we try to more conservative in recognizing the cost, so we try to avoid the possibility of any surprise while having the one we recognize that net income growth by 2.2%. And if you see the internal margin, it's not much different compared to the full year of last year. So what we expect for the remaining, the net income will improve along with the TIME. So we expect, I think, the net income, revenue net income and then EBITDA will be in line at the full year of this year. And then in the third question, it's about BlackBerry access fee. If you -- we can inform you actually, compared to the first quarter of last year, the access fee for the [indiscernible] of BlackBerry already reduced from IDR 27,000 to IDR 19,000 this quarter. It's along the way with our bargaining position, strengthened, in line with increasing number of BlackBerry subscribers that we recruit right now is around 7,060,000 -- 7.60 million subscribers. This is I think the number of subscribers much higher compared to what we got last year, around 5.75 million last year. So basically, we used the, I think, bargaining position and economy of scale, trying to get the Razr apart from the BlackBerry. That's our explanation.
Roshan Raj Behera - BofA Merrill Lynch, Research Division: Okay. Just following up on the first 2 responses. One on the data monetization part. I understand you're trying to encourage subscribers to use more of it. But in terms timelines, is it like a few quarters, a few years? How far are we from really seeing the revenue trends tracking kind of getting closer to data traffic trends? And in terms of earnings outlook for the next few quarters, I was not able to kind of get a sense of it. Are you suggesting it will be kind of mid-single-digit kind of earnings growth for the next few quarters?
Edward Ying Siew Heng: So again I'll start first here on data. Firstly, I think we're in a very competitive environment so we have to depend how the competition react and then we respond accordingly. So data prices will actually otherwise be competitive. So point #2 is -- everything being equal at what it is today, where do you see we [indiscernible] catch up our revenue with the usage. So I will say that during the next 3 quarter, you'll see us moving -- hopefully moving upwards. Hope I answered your question?
Heri Supriadi: Yes, [indiscernible] I think only, as I already mentioned before, we try to make that in line with the revenue growth and EBITDA growth by I think also doing a lot of initiatives. I try to make the cost efficiency work. So basically, we will be in line with the growth of revenue and EBITDA.
Operator: Your next question comes from Colin McCallum from Crédit Suisse.
Colin McCallum - Crédit Suisse AG, Research Division: My question is just regarding the depreciation at Telkomsel, which increased obviously quite meaningfully year-on-year. I was wondering if you could clarify exactly how much of that increase was due to the accounting change, in other words, more towers being treated as finance leases. Could you specify the number in rupiah billion that is due to that specifically? Could you also tell us how many towers now or tenancies are treated as financed users versus how many at the end of the year and how many at the same time last year so we can see what's actually moved there in terms of the number of towers that moved to finance lease accounting. And could you also let us know how many towers are remaining that could be moved into finance lease accounting so that we can understand how far this process has gone? I hope that all makes sense. Is the question clear?
Prakoso Imam Santoso: Pak Heri?
Heri Supriadi: It is about depreciation increase. With respect to the tower, tower lease accounting treatment. In the first quarter of 2014, we record around IDR 504 billion of tower lease expenses that we report under the final lease, of which around IDR 300 billion posted in the depreciation and the balance and interest expenses. At March 2014, also the tower that we already rent is 15,083 towers, of which 7,873 towers were under operating lease and 7,210 towers under finance lease. On the corporation [ph] almost equal, which is 48% to 52%. That's about the tower lease accounting treatment and the impact to the depreciation. And the figure...
Colin McCallum - Crédit Suisse AG, Research Division: Sorry, high March, so what was the impact in terms of if you look at the first quarter for depreciation at Telkomsel versus the first quarter of the year before? How much of that increase is due to the accounting change?
Heri Supriadi: How much is needed compared to last year?
Colin McCallum - Crédit Suisse AG, Research Division: How much of the increase in depreciation charge in Telkomsel sale is due to the change in accounting?
Heri Supriadi: Okay, I will come back to you on that one. I think last year it is around IDR 431 billion. Now we count IDR 312 billion.
Colin McCallum - Crédit Suisse AG, Research Division: So from IDR 431 billion to IDR 312 billion, so IDR 260-odd billion.
Heri Supriadi: Yes.
Colin McCallum - Crédit Suisse AG, Research Division: Okay. That's helpful. If I could just ask one other quick question as well, I think you mentioned in the presentation that you now had 8.5 million homes passed on broadband. I think your Speedy customer base is still only about 3 million and the net additional each quarter has actually been quite slow. Any particular reason for that? And what would be the target for getting the Speedy subscriber base too by the end of 2014?
Heri Supriadi: Okay. [indiscernible] fixed broadband proper [ph] has already growly by 17.6% and the revenue of fixed broadband itself has also grown around 7.8%. But if we the combined included together with the [indiscernible], growth has reached around 9%. And then the number of subscriber who will be our target by the year would be around 5 million subscriber of Speedy.
Operator: [Operator Instructions] Next question comes from Arthur Pineda.
Arthur Pineda - Citigroup Inc, Research Division: I have 3 questions. Firstly, we have seen margins to be under pressure and your EBITDA and profit growth has basically scaled to match your revenue momentum. Is there room for you to reduce expenses in the following quarters or should we see cost will continue to weigh down on margin? I'm not sure if it is a timing issue on the buildout cost and is there any one-offs recognized in the first quarter? Second question I had is with regard to -- it's related a bit. If you aren't able to effectively monetize on the network investment with faster growth, will it make sense for you to slow down your network buildouts so that you could actually accelerate your earnings momentum? Last question I had is with regard to your thoughts on mobile competition. Has there been any notable changes in the industry post-Excel-Access deal that we should be cautious about?
Heri Supriadi: All right. May I start from the mobile side. I think in terms of the margin, if you see this quarter actually the number of days also -- is also compared to the other quarters because we have February, which has less compared to the other months, the days in February. And also, we continue to build our -- because we know some will be big in the second and first half of this year, so we start to prepare our network for readiness of that Internet going to come. So based on that, what we expect is, in line with the growing revenue that we can generate, the margin will be also improved from time to time. Our objective, of course, we want to have the margin in -- of the -- the growth of EBITDA margin and net income also in line with the revenue. This is our objective. We try to improve the revenue and also try from time to time to get a good deal in cost. So our cost also will be I think more efficient. This is over the margin. On the second question about the slowing down of network, network deployment. What we see, we have the formula of growing network in which the traffic is still -- the demand for traffic is still growing. And also, we continue to put our network to the site. We are very selective in adding our network so that we already predict with our sales and marketing team. So basically, we see that we still are -- basically still in line with our plan. So we expect we can continue the network go up. But if you ask us whether we can be rational, of course, we are very rational in making that a reality. Maybe Pak Edward, you can answer..
Edward Ying Siew Heng: Maybe I could add on with [indiscernible]. So number one, that I think Telkomsel has been always a leader. One of our leadership position in Indonesia we're being the largest cellular operator in our network. So we have widest coverage, widest network and the best quality in Indonesia. So I think there's something that we will not let go of. We want to hold to that premium position. So we will continue the roll out. So as long as we are rational and due to cost analysis. The other thing that also going to -- we have been 18 years, 19 years business, there's some transformation that we need to do with our network as well. So we go to these 2 phases aggressively. So the other point you have other mobile competition with Excel and Access merger. So I have the say, yes, the market dynamic will change in two-fold. One, the positive side will be we are actually a better competitor now because, first, Excel will now incur use cost paying off and write-off what it could build and building a new network and working with a bigger customer base. So I think we become more rational. We will not simply drop price to compete because they have bottom line, they have things to pay for. So that's the good part of it. At the same time, obviously they become more formidable, they have more frequency, they're able to roll out now with new frequency. So we have to be actually more mindful of that. So the question is that will change, I think that's true. But there's competition, right? I would say that we've been this for the last 18 years like this and hopefully, can also write this go through and hopefully come out and emerge as the leader as well. So that's all I want to add on.
Arthur Pineda - Citigroup Inc, Research Division: So if I could just backtrack a little bit with regard to the comment on the margin. [indiscernible] mentioned that margins are expected to change from time to time and improve over time in the following quarters. Where could we actually see in those changing with regard to your OpEx, so that margins could actually get better and profits could get better?
Heri Supriadi: I think the first question, Roshan already asked. I already mentioned to him that some of our cross-recognition, we try to be more conservative, in which I think we try to avoid a surprise and so on. We do the, I think, more frequent reconciliation with our vendors. So most of the processing we try to recognize as soon as it happens. And the second, we, from time to time, try to do initiative in our operational efficiency in term of tower and so on. We also know how to do the efficiency from the design of our network and so on. From that side, along with our economics of scale, we have I think better bargaining position from time to time. But we expect we can bring us -- unit cost will be more efficient from time to time that will also end up with a better margin. That's what we can add in to you.
Operator: Your next question comes from Navin Killa Morgan Stanley.
Navin Killa - Morgan Stanley, Research Division: I have 3 questions. One is, on broadband, I don't know whether I heard it correctly. Did you talk about a 5 million subscriber target at the end of the year? I mean that would obviously imply a big acceleration in terms of growth. Can you correct if my -- if I had it wrong. And I guess generally speaking, what kind of initiative you think you need to take to accelerate growth in the broadband market? I would imagine there's probably demand there? Second, I don't know if it's early, but what's your thoughts on 4G Indonesia? When do you think the market will be ready? Do you think you are well-positioned in terms of spectrum? Have you started thinking about rollout, et cetera? And the third question, with personnel expenses down year-on-year, is there anything going on there? How should we look at the trend of personnel expenses for the full year?
Heri Supriadi: Yes, I think for the target for fixed broadband subscriber growth full year 2014, we put the high target because we want to monetize -- all assets be able to spend on the full year 2013. [indiscernible] I guess [indiscernible] is our target for 2014 end of year.
Navin Killa - Morgan Stanley, Research Division: So I did not hear you incorrect? Your target is 5 million?
Heri Supriadi: Yes, 5 million tops for end of year for the full year [ph].
Prakoso Imam Santoso: Navin, can you please repeat the second question again?
Navin Killa - Morgan Stanley, Research Division: Well, [indiscernible] the first question which was now that you have confirmed that the target is so aggressive, how do you -- what are the strategies in place to take you from, I guess, quarterly net adds of 100,000, 200,000, probably need to be 1 million. So the what's your strategy [indiscernible] to pick up the [indiscernible] there ?
Heri Supriadi: Okay, our first strategy is the prospect about existing customer by upgrading the network from [indiscernible] the first half of the year. And the second part is, by offering in the home to the customer, we call it in Indonesia digital home, this in the home consist of unlimited broadband on the telephone, unlimited long-distance call, unlimited calls to Telkomsel and also a much-higher speed of broadband. And the third is Speedy instant [ph] itself. Speedy Instant [ph] is a low -- for low affordable customers. We're offering Speedy Instant [ph] that price only IDR 5,000 for a day. So that's all I think.
Operator: The next question comes from Jimmy Chen [ph] from Stanford and (sic) [Sanford] Bernstein.
Prakoso Imam Santoso: Billy, I think the second question has not been answered yet, I think. About -- regarding 4G, right?
Edward Ying Siew Heng: I think on 4G, this is Edward, just let me reiterate the point I made earlier to pursue another question. One of the successful contribution to our success in Telkomsel is our network coverage and the performance of network. So on that point, we have demonstrated leadership in 3G. For example, you look at today, we have 40% of our base stations are now 3G. Our nearest competitor has less than 1/2 of ours. So we have clear leadership in that. And why we do that is because we believe we are planning for the future, we want to provide mobile Internet and that's where most people who have set the Internet business. And especially, Indonesia is a big, big country. So on that point, you asked whether we are ready for 4G? So the answer in short is we are preparing for 4G. We are looking into it seriously and we haven't drawn any license in absolute sense. That means someone's station can launch 1G tomorrow. I don't think any of the Indonesian operator has that, when I say 4G, I say FTD [ph], so -- and we've always been leaders. So we haven't got that. Even given the license we launch, the answer is we are preparing and we should be ready to launch immediately. And to continue the leadership in Indonesia as the best cellular network. So I hope I answered your question.
Heri Supriadi: Yes, I think for [indiscernible] we know that some [indiscernible] continue to assist with our cost information. But we think maybe we also can improve. If we can't solve the problem in our Flexi [indiscernible] application, because we are in the progress to move Flexi into Telkomsel. If we can [indiscernible] of the [indiscernible] this year, I think we can [indiscernible] also the automatic application in our Flexi and can be [indiscernible] from our balance sheet.
Operator: The next question comes from Roshan Raj, Merrill Lynch Singapore.
Roshan Raj Behera - BofA Merrill Lynch, Research Division: I have 2 more questions. One is, this initiative about area environment, at least that has been cited as one of the reasons for higher cost. I'm just wondering how do you see the offsetting revenue and honest impact from this initiative. What are the KPIs associated with this particular initiative? And the second question is do you have any thoughts on participating in local M&A opportunities?
Prakoso Imam Santoso: Could you please repeat the first question regarding IDN?
Roshan Raj Behera - BofA Merrill Lynch, Research Division: Yes, it's not -- it's what has been cited as -- on Page 7, the G&A expense has gone up and one of the reason which has been provided there is higher office rental cost related to area empowerment. I'm just trying to understand what exactly are you hoping to achieve with this area empowerment and what are the KPIs, and how does it benefit your revenue and earnings?
Heri Supriadi: Okay, I may answer on the area improvement. We see that our business in the legacy business is, if you see from the traffic, the traffic was expected [ph] in the last -- I think in the last, let's say, 4 or 5 quarters. The traffic always -- almost stay at [indiscernible]. But from time to time, we also learn every call, every cluster in the area, we have around 208 clusters in the area. We can see that every cluster or every [indiscernible] have their own characteristic in which we can really play our price adjustment, in which we can get benefit from the net dynamic. To have that one, we need to do the -- some area empowerment by transferring more people from the headquarters to the area, so more of our people closer to the customers. Why are we doing this? Its impact to the requirement of the building and so on in the area and also some of moving cost in the area, this cost, or cost will be coming increase in the G&A. But the benefit from this, you can see that by the fact that price no longer elastic in the legacy business, SMS and voices. But we still can grow our revenue from that quite lucrative margin around 5% year-on-year. That's the way we see it, the way we manage our business and customer in order to get value-added from the situation.
Operator: The next question is from Jimmy Chen [ph] from Stanford and (sic) [Sanford] Bernstein.
Prakoso Imam Santoso: Sorry, second question's not answered yet.
Heri Supriadi: So regarding the opportunity for local M&A, yes, we are -- keep looking for the opportunity to find the room for growth from the local companies that can complement our portfolio. So we will execute in a very prudent and [indiscernible] and also considering the benefit and also the location that we can get from the action.
Roshan Raj Behera - BofA Merrill Lynch, Research Division: If I could just add to it, would you be open to considering mixed bequest [ph] M&A deals be that from some of your CDMA or GSM competitors in the market?
Prakoso Imam Santoso: Pak Edward, you'd like to answer?
Edward Ying Siew Heng: Well, I think personally on M&A, I think we are [indiscernible] a dominant player. So any M&A we do, I think there will be some [indiscernible] restriction by the regulatory. So we have to be careful and we're watching that. On top of that, we'll be guided by our shareholders, both Telkom and SingTel, how we want to do this merger and things like this. So at the moment, I would just say that we are open, looking but that's about all I can say.
Operator: The next question comes from Jimmy Chen [ph] from Stanford and (sic) [Sanford] Bernstein.
Unknown Analyst: Three questions. Number one, can you give us an update on the Wi-Fi network situation? I haven't -- we haven't seen a lot of updates on that recently. Number 2 and number 3 has probably been asked but just want to verify. Personnel cost reduced last quarter. Can you just explain what's driving that and whether that's sustainable going forward? And number 3, on the 3G or 4G roadmap, can you explain a little bit about how management thinks about the rollout of those 2 technologies and what the roadmap would look like in the next, say, 3 years in terms of the number of sites to build, the population to cover, et cetera.
Heri Supriadi: Yes, I think the way we want to -- this looks more Wi-Fi at this point because we want also to support the [indiscernible] for Telkomsel. On the first quarter this year, we already deploy around 80,000 Wi-Fi access point. The target for full year is around 200,000 Wi-Fi access points. We believe that if we can't upload 60% up to 70% uploading into Telkom wireless range, it's also the new revenue growth for the market [ph] strength. I think [indiscernible] an answer.
Prakoso Imam Santoso: Number 2 question is regarding personnel costs, Jimmy?
Unknown Analyst: Yes -- so I didn't catch the number exactly. Did you say 200k Wi-Fi sites? Did you say that's the number that you have or is that a target?
Heri Supriadi: 200,000 Wi-Fi [indiscernible] our full year target.
Prakoso Imam Santoso: The 4G roadmap, Pak Edward, please?
Edward Ying Siew Heng: This is Edward, Jimmy. So maybe I think [indiscernible] have to explain. This is a very complex structure. I mean I would just like to [indiscernible] in Indonesia. I'm happy to explain to you in person. But let me put in the short and simple one and short one is, firstly, I think today 4G in the world are running 900, 1800 and 2100. [indiscernible]. But of course the [indiscernible] is 2300. So Telkomsel is privileged to have 900, 1800 and 2100. So we are ready, so in that sense. So #2, do we have enough frequency? The answer is obviously, we like more. Maybe now we need more, because as we grow along, there'll be more and more downloads of videos and [indiscernible] frequency. So then the question is, should we jump in tomorrow with 4G? The answer is we have no license. Even if we jump in, we're looking at the places that we need to roll out. So the last point I want to make is, today, 3G smartphone penetration is only 21%. We are doing well in most capital city or large city and [indiscernible] is not. We are still rolling out 3G at the moment. We have about 40% coverage. We want to also hit as far as broadband in the next 3 years. Hopefully, we can achieve where we achieve 98% of 3G coverage. We believe 3G is still the first step from 2G to 3G and then to 4G. So that's the nutshell. So it's a long and complex one, but I try to make it simple. I hope I answer your question, Jimmy.
Unknown Analyst: Yes. And the personnel costs.
Operator: [Operator Instructions] The next question comes from [indiscernible] from New Street Research.
Unknown Analyst: Just looking at your release you sent out this -- just before this Q1 result, we've got a little thing regarding postpaid -- conversion prepaid to postpaid, a package of IDR 50,000 a month. Just wondering, how much success did it have on converting these prepaid? Did your cost go more lucrative [indiscernible] prepaid? And that's it for me.
Prakoso Imam Santoso: Pak Heri?
Heri Supriadi: Pak Edward is going to answer that one.
Unknown Executive: [indiscernible] the number of postpaid, and then I can explain how we go to postpaid business.
Unknown Analyst: Sorry, can you repeat that?
Prakoso Imam Santoso: Pak Edward?
Heri Supriadi: Hold on, we try to -- Prakoso, hold on, give us a minute, we will come back to you.
Edward Ying Siew Heng: We'll maybe to start with, I just want to tell you that we are trying to grow our postpaid business. So far, I had to say the number has been encouraging. As you know in Indonesia, mostly, it's prepaid. So we have worked on it in various programming sites converting prepaid to postpaid, offering packages for SME and also large account customers like the big banks and the big offices in this country, refining companies [ph]. So on year-on-year growth of subscribers base grew 14% and I will use the word we could grow that business. It's encouraging and we are still looking on ways to [indiscernible] better monetize and grow that business. I think that's all I have the answer for you.
Operator: There are no further questions at this time, I like to hand back to Mr. Santoso for any closing remarks.
Prakoso Imam Santoso: Thank you, Billy. Thank you, everyone, for participating on today's call. I apologize for those whose questions could not be addressed. Should you have any further questions, please don't hesitate to contact us directly. Thank you.
Operator: And this does conclude today's conference. Thank you for your participation. You may now all disconnect.